Operator: Good morning, and welcome to the Vislink Second Quarter 2024 Earnings Conference Call. My name is Megan, and I will be your operator for today's call. Joining us for today's presentation are the company's CEO, Mickey Miller; and CFO, Mike Bond, who will report results for the second quarter ended June 30, 2024. A copy of the press release is available on the company's website. Before we begin the call, I would like to provide Vislink's safe harbor statement, which includes cautions regarding forward-looking statements made during this call. Management will make statements during the call that include forward-looking statements within the meaning of the federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. All forward-looking statements, including without implementation or examination of operating trends and financial expectations are based upon the company's current estimations and various assumptions. These statements involve risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not rely on these statements. For lists of the risks and uncertainties associated with the company's business, please see the company's filings with the Securities and Exchange Commission. Vislink disclaims any intention or obligation, except as required by law to update or revise any financial projections or forward-looking statements, whether because of new information, events or otherwise. This conference call contains time-sensitive information that is accurate only as of the live broadcasting this morning, August 14, 2024. Please note, this event is being recorded. Now, I would like to turn the call over to Vislink's CEO, Mr. Mickey Miller. Please go ahead.
Mickey Miller: Thank you, operator, and thank you, everyone, for joining us today. This morning, we filed our Form 10-Q with the SEC and issued a press release that provided our financial results for the second quarter ended June 30, 2024 along with key business accomplishments. As a brief overview for today's call, I'll start by discussing our second quarter performance and highlighting our progress toward our three year financial goals. I'll then pass the call to Mike to discuss our financial results. Afterwards, I'll return to discuss recent updates within our key target markets, product developments and our go-to-market strategies. As we advance through 2024, we are on track to meet our three year financial and operational objectives. Our targets include doubling revenue by 2026, increasing recurring revenue streams, and achieving cash flow positivity in 2025. While we aim for cash flow neutrality by the end of 2024, the time line may adjust due to the need to invest in promising growth opportunities we are actively pursuing. I'm excited to share that the second quarter of 2024 has been another confident step forward for Vislink in pursuit of our three-year goals. Our efforts have resulted in robust financial performance and significant progress in executing our strategic initiatives. In Q2, we achieved a 73% year-over-year increase in revenue, reaching $8.7 million. This growth was driven by both our Live Production and MilGov markets. Our strategic focus on new products particularly in the MilGov sector is paying off. In recent months, we have landed key MilGov orders and successfully converted opportunities with BMS customers. In 2024, our systems were successfully deployed with US Customs and Border Protection, Baltimore City Police, Baltimore County Sheriff and the New Jersey State Police, and initial orders were received with the Danish Ministry of Defense and DC Metropolitan Police. Additionally, we have positioned Vislink for expanded market reach in the coming years by obtaining NATO stock numbers and successful shipments to several OEM customers. NATO stock numbers, included in the NATO codification system, are critical for standardizing and streamlining procurement processes within the 63 partner nations. Obtaining NSNs for our AVDS product portfolio significantly raises Vislink's credibility and market access in the defense sector. This milestone could enable more efficient and widespread adoption of our technology within NATO forces, opening the door to significant contracts. Additionally, achieving approved supplier status with three new OEM partners solidifies our relationships and paves the way for more reliable revenue streams. We've also made significant strides in expanding our weighted sales pipeline, now valued at $51 million, up from record levels reported in Q1. This reflects the demand for our current offerings in new products and our potential to expand into emerging markets such as drone command and control or Drone C2. Our increased R&D investment in Drone C2 highlights our proactive approach to pursuing emerging opportunities in both manned and unmanned applications. As we navigate the remainder of 2024, our goal remains to achieve cash flow neutrality by year-end and transition to cash flow positivity in 2025. Our Q2 expenses were higher than expected due to talent acquisitions, non-standard governance costs and R&D investments. We are actively pursuing operational enhancements and cost optimizing measures alongside our strong revenue growth trajectory to ensure effective cash management. In line with these efforts, we have appointed Donnie Gilliam as VP of Operations to further improve our operational efficiency and effectiveness. His extensive experience in operations, supply chain management and lean manufacturing will be instrumental in driving customer satisfaction, cost reduction and working capital improvements. Donnie will also lead the implementation of our new ERP system this fall, which will enhance our cost structure, inventory management and customer deliveries. Additionally, Bill Sweeney with his extensive MilGov background is leading our global sales efforts as a new Senior VP of Sales. Our focus on the MilGov market is paving the path for our growth, bolstered by opportunities opened by the BMS network. These factors, combined with our increased governmental investment, given the current geopolitical landscape, will drive our revenue growth. We expect to continue growing by ramping up and refining our sales efforts, supporting our enhanced channel capabilities and ever improving product portfolio. Before I proceed with further updates, I'll pass the call over to our CFO, Mike Bond, to provide a detailed overview of our financial results for the second quarter. Mike?
Mike Bond: Thank you, Mickey, and good morning, everyone. Looking at our financial results for the second quarter. Our total revenue increased 73% to $8.7 million, up from $5 million in the prior year period. The increase in total revenue resulted from continuing growth in sales to both Live Production and MilGov customers. Gross profit increased to $4.9 million, up from $2.6 million in the prior year period. The gross profit margin for the quarter was 56%, up from 53% in the prior year. The year-over-year improvement in gross margin reflects greater operational efficiency. The gross margin improvement was partially offset by a higher mix of revenue from Live Production markets as well as from installation timing for a large MilGov opportunity. Total expenses were $11.3 million compared to $8.4 million in the prior year period. Beyond the costs associated with the increased revenue, our Q2 expenses reflect one-time corporate costs, including new higher recruiting fees, legal fees associated with evaluating inorganic growth opportunities and an increase in personnel in preparation for the upcoming ERP implementation. We also saw an increase in R&D investments, which we anticipate will continue over the next several quarters as we strategically invest in our Drone C2 platform. Turning now to our profitability measures. Operating loss improved to a negative $2.6 million, down from a negative $3.4 million in the prior year period. Net loss attributable to common shareholders improved to a negative $2.3 million or a negative $0.93 per share. That's from a negative $3 million or a negative $1.27 per share in the prior year period. This improvement demonstrates that our strategic cost management is working and will continue to enhance operational efficiencies. Moving now to the balance sheet. As of June 30, 2024, our cash and short-term investments stood at $11.5 million compared to $14.2 million at December 31, 2023. We experienced higher-than-expected cash usage during Q2, primarily due to one-time corporate items including talent acquisition and nonstandard governance costs. These items are not expected to recur, and we anticipate improved cash performance moving forward. Despite these challenges, we maintained a robust working capital of $29 million at the end of the second quarter compared to $31.8 million at December 31, 2023. As we launch our ERP system this fall, we expect to see continued improvements in cash performance, inventory management, supply chain and our working capital turns in the coming quarters. That concludes my prepared remarks. I'll now turn it back to Mickey
Mickey Miller : Thanks, Mike. We turn to operational updates. In our MilGov markets, we continue to demonstrate strong growth, largely fueled by the success of our AeroLink platform solutions and translating the BMS networks into loyal Vislink customers. We achieved significant milestones this quarter, including delivery, initial shipments to U.S. Customs and Border Protection. These orders involve providing advanced air-to-ground communication systems that enhance CBP's situational awareness. Orders like these validate our capability to meet the stringent technical requirements of MilGov clients. These orders should serve as a strong reference as we pursue growth globally. We've also executed on our approved supplier status with three new OEM partners, further solidifying our relationships and paving the way for more reliable revenue streams. Turning to the Live Production markets. Our performance remains strong with consistent revenue contributions compared to the prior year. Notably, we had a significant installed base at the Olympics, displaying Vislink's prominence. In addition to the Olympics, our solutions were deployed in other marquee events this year, including the Tour de France, Wimbledon and COPA America. In Q2, we completed a $1 million program installation at the new Walt Disney Company headquarters in New York. Our technology will allow for seamless indoor and outdoor coverage of top-rated shows, including The View, LIVE with Kelly and Mark, Tamron Hall, ABC Nightly News and ESPN New York. We also completed $1 million shipment to the National Hockey League. The NHL uses our wireless video system to visually monitor and ensure the integrity of their scoring system. We continue to grow our brand and presence in emerging geographical markets. Recently, we have had significant wins with Doordarshan, India's state-owned public broadcaster, and Zoom Communications, the country's largest live production service provider. Doordarshan, one of India's largest broadcasting organizations provides television, online and mobile services across metropolitan and regional India as well as internationally through its satellite network. This partnership increases our visibility and positions us at the forefront of India's expansive broadcasting landscape. These strategic wins in India, a rapidly growing market with significant potential, lay a robust foundation for our continued expansion across South Asia. As we deliver innovative solutions in these key regions, we reinforce our ability to provide cutting-edge technology and expand our global footprint. Upgrading and expanding our product lineup remains a critical part of our growth strategy. In Q2, we made significant progress in several areas. We are particularly excited about the advancements in our drone command and control technology. We are taking a proactive approach to capturing new opportunities in both manned and unmanned applications. This market is expected to grow rapidly and our technology is well positioned to meet the demand. In Q2, we kicked off a feasibility study, engaging with key industry leaders to identify the future market requirements, leveraging Vislink's unique expertise. This effort has provided an overwhelmingly positive feedback, confirming our decision to increase spending in this area. This investment will produce a waveform-agnostic, bidirectional command, control and video platform that will support multiples of short and long-range unmanned aerial and terrestrial systems. We will work closely with existing and new customers in this area. We look forward to providing updates in subsequent quarters and expect this effort to generate revenue in late 2025. Additionally, we are building a robust digital platform to improve our market presence. The launch of our new website this fall is expected to significantly enhance our online visibility and lead generation capabilities. We also continue our Trade Show activities, such as the Airborne Public Safety Association Convention and the Texas Association of Broadcasters. And we are preparing for the international broadcasting convention, where we are a finalist for the IBC Innovation Award in content creation. We are pleased to announce that Vislink has joined the Grass Valley Technology Alliance, a certification program that ensures our products work seamlessly with Grass Valley systems. Grass Valley is a leading media technology provider for the media and entertainment industry. This partnership extends our potential customer base and enhances the products we can offer, including the wireless camera transmitter, which is designed for high-quality video capture in various settings from sports events to emergency situations. We remain focused on leveraging our hardware and infrastructure to drive recurring service and software revenues. Our Air to Anywhere platform will be the cornerstone of future advancements in AI-enhanced video processing to improve the detection and analysis of activities such as crowd control, drug trafficking and border surveillance. These efforts align with our strategy to increase recurring revenue streams and enhance the functionality and quality of our visual solutions. Leveraging common technology components to enhance system scalability and quality will remain our key product development strategy, continuing to drive margin improvements and efficiencies. As we continue to pursue growth opportunities, maintaining a strong focus on operating cost management ensures that we will remain at the forefront of industry advancements. Our go-to-market strategies continue to evolve, showing promising results across our four focus areas: live video connectivity, video data transport, AVDS and drone command and control. Our progress in the Drone C2 is particularly encouraging. Although it's an emerging market, we expect it to grow rapidly in the coming years, and meaningful conversations with key industry leaders earlier this year have led us to ramp up our investment in this area. Our bonded cellular technology continues to play a crucial role in live video connectivity and in video data transport, providing reliable and high-quality video transmission for various applications. We are advancing discussions with key OEM participants to ensure our technology roadmap aligns with their future requirements, reinforcing our position as a leader in meeting the evolving needs of our markets. Additionally, our engagement with key industry stakeholders has shown strong interest and positive feedback, which we believe will convert into firm orders in the coming quarters. Our efforts in demonstrating the capabilities and reliability of our technology are gaining considerable traction, especially in sectors that demand robust and flexible video data transport solutions. In Q2, we saw considerable traction with increasing market interest and trial usage. In the second half, our focus remains on converting interest into orders through demonstrations and trials, ensuring that our innovations lead to tangible growth. Looking ahead, we are energized by the positive start to the year and have promising catalysts on the horizon to maintain this momentum. Our solid foundation from the first half of the year, along with our ongoing strategic initiatives and exploration of exciting new growth areas should propel us towards meeting our ambitious targets in the coming quarters and years. Our robust $51 million weighted sales pipeline reflects our strong market position and the demand for our innovative solutions. As we stay focused on our strategic goals and expand our market reach, we are well-positioned to continue driving value for our stakeholders and achieving long-term growth. Thank you for your continued support and confidence in Vislink. We look forward to updating you on our progress in the coming quarters. Operator, please provide the appropriate instructions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Now, our first question will come from Sam McColgan with Breakout Investors. Please go ahead.
Sam McColgan: Hi guys. Congratulations. Strong quarter and, yes, it was great to hear so much commentary about kind of new clients you're getting in, new partnerships, new kind of certifications. So, well done on all fronts there. I wondered if you can talk a little bit about your journey towards cash flow neutrality and positivity next year, how much of that do you think will be attributed towards revenue growth? And how much is, you think, attributed to operating costs? I'm not obviously looking for anything super specific here but just a general sense.
Mickey Miller: Hi Sam, thanks for joining. I'll say a few words and then I'll let Mike give some more color. As we've talked about in the past, we being a small company -- a small public company, there are some fixed costs associated with being public, whether it will be third-party costs, attorney fees, auditors, NASDAQ fees. And so we see that contribution. Once you we contribute to that fixed cost -- that effective fixed cost, then things drop to the bottom, so you get operating leverage. So, that's one area. The second area is obviously as we grow, our goal to grow and double our revenue with the margins we have today will allow us to again drop that through and get the EBITDA growth that we've talked about and the positive cash flow. We're also, as we mentioned, going through an ERP upgrade, which will -- currently, we operate on four different systems throughout the company. So we see a large opportunity to become more efficient and more effective in our operating costs, which will reduce our operating costs and again drive more operating leverage. Mike, do you want to add to that?
Mike Bond: Mickey covered it pretty well, Sam. But as we look forward, we do think we're going to obviously increase sales. We have a great mix of new products coming online, and so we do see a lot of interest. And so we think we'll hold margin and potentially move up a few points in margin. So that's one good contributor. The other is we're on a heavy cost containment exercise at this point. As Mickey mentioned, we had some very upsized kind of onetime costs associated with talent acquisition. We do have a huge effort going on with our ERP conversion at this point, and that does obviously cost us some G&A dollars to implement that. So we're kind of doubling up on some costs there as we run four systems and then integrate a new system into the fabric of the company. So we think that our expenses going forward will reduce to a certain extent. We're looking to rationalize our expenses as we go forward and reduce those as much as we can. And we also think that, as Mickey said, this new ERP system will give us a lot of operational efficiency throughout the company. And we think that, that will give us some real cost benefit going forward.
Sam McColgan: Right. Very exciting to hear. My next question was about the R&D expenses. You're expecting that to increase. And if I understood right, a decent portion of that increase is kind of directed towards the kind of work around the drones. I was wondering if you can maybe help me understand how best to think about that. Are the improvements or the research and development you're doing, am I right in thinking that's essentially to prepare for quite specific deals or products which specific customers have in mind rather than just kind of making general improvements to improve your general standing in the marketplace? It sounds like you have more specific end goals with these improvements, but I just wanted to check that with you.
Mickey Miller: Yeah. We see it as a platform, Sam. So currently today, in our manned systems, typically, it's one man's unit to one system. But as you know, with Class II, III, IV drones, you can need multiple drones, multiple unmanned both terrestrial and aerial and long ranges. So to be able to have that capability. We have a unique capability around pieces of that, but there's other elements that we need to add to our platform to allow us to address that larger market. So that's the effort that we have kicked off after our investigation in the first half of this year, working with some of the key leaders in the space. And that will then augment our current capabilities to be able to open up a much larger market to us.
Sam McColgan: Great. Thank you.
Mike Bond: Sam, the one thing I would add is that we did have some non-recurring R&D charges in the first quarter associated with bringing some of our new products online. We don't think -- we don't expect those to continue. But as Mickey said, now we'll start making some incremental investment in R&D associated with some very targeted technology towards specific customer groups.
Sam McColgan: Yes. Understood. Great. Last one for me. I think one of the perhaps most significant announcements you made was -- have to do with securing their NATO Stock Numbers for your AVDS products. I was wondering if you could just elaborate a little bit more on what kind of doors does that open for you, what kind of time line might we expect to see something perhaps happen out of that?
Mickey Miller: Yes. Great question, Sam. So in order to get an NSN, you have to have one of the 63 member countries effectively sponsoring you and drive the requirement to be able to have NSN-designed. And so we're able to achieve that. And now we have the opportunity as we engage with other NATO countries, it's a very simplified process as opposed to the more extensive processes we're going through, getting qualified, getting -- the process of obtaining the numbers, which takes some time. So this should accelerate as we develop more opportunities with the 63 partner nations in NATO.
Sam McColgan: Well, thank you very much. Congratulations again, a strong quarter. Great commentary. And I look forward to seeing how things progress for the rest of the year. Thanks, guys.
Mickey Miller: Thanks, Sam.
Operator: [Operator Instructions] That concludes our question-and-answer session. Thank you for joining us today for Vislink's second quarter 2024 conference call. You may now disconnect.